Operator:
Solange Barthe Dennin: Good morning. On behalf of Telecom Argentina, I would like to thank everybody for participating on this conference call. The participants on today's conference call are Roberto Nobile, Chief Executive Officer; Gabriel Blasi, Chief Financial Officer; Fernando José Balmaceda, Director of Investor Relations and myself, Solange Barthe Dennin, Manager of Investor Relations. The purpose of this call is to share with you the results of our third quarter ended September 30, 2020. If you have not received our press release or presentation, you can call our investor relations office to request the documents or download them from Investor Relations section of our Web site located at www.telecom.com.ar. This conference call and presentation is being broadcasted and can also be replayed through our investor website at institutional.telecom.com.ar/inversores. I would like to go over some Safe Harbor information and other details of the call. We would like to clarify that during the conference call and Q&A session, we could mention certain forward-looking statements about Telecom's future performance, plans, strategies and objectives. Such statements are subject to uncertainties that could cause Telecom's actual results and operations to differ materially. Such uncertainties include, but are not limited to, the effect of on-going industry and economic regulations, possible changes in the demand for Telecom's products and services, the effects of potential changes in general market and/or economic conditions, in legislation and the impact of the outbreak of COVID-19 on the global economy and specifically on economies of the countries in which we operate as well as on our operations and financial performance. Our press release dated November 9, 2020, a copy of which was included in the Form 6-K and send to the SEC, describes certain factors that may affect any forward-looking statements that could be mentioned during the call. The company has reflected the effects of inflation adjustment adopted by Resolution 777 of 2018 of the Comisión Nacional de Valores, the CNV, which establishes that the expression will be applied to the annual financial statements, for intermediate and special periods ended as of and included December 31, 2019. Accordingly, the reported figures corresponding to the nine months 2020 including the effect of the adoption of inflationary accounting in accordance with IAS 29. In this presentation, we will also include figures of historical values which are easier to understand. Our press release is complemented by our earnings presentation. The audience should read the disclaimer contained in Slide 1 and 2 of the presentation. The agenda for today's conference call is described on Slide 3, and includes our business and financial highlights. So we will end the call afterward with a Q&A session. So now let me pass the call to Gabriel Blasi, our CFO, who will start with the presentation.
Gabriel Blasi: Thank you, Solange. Good morning and welcome to everyone. Slide 4 shows a summary of the company's figures as of September 2020. During the first nine months of 2020, Telecom's revenue totaled P$2.7 billion. Revenues measured in constant basis decreased 4.6% year-to-year. EBITDA totaled P$1 billion implying 35.8% EBITDA margin growing in constant pesos 2.4% year-over-year. Our mobile subscribers in Argentina amounting to 18.7 million decreasing in approximately 150,000 subscribers when compared with the previous quarter, due to a decline of around 250,000 subs in the prepaid segment that was partially offset by an increase of close to 100,000 clients in postpaid. Broadband and paid TV clients increased totaling around 4.2 million and 3.6 million respectively. Fixed voice subscribers without considering IP telephone lines, amounted 2.9 million. Thanks to our successful commercial strategy focused on the bundling and upselling of our products. We currently have 1.8 million convergent unique customers, which 43% of our broadband customers have mobile bundle. Going to Slide 6, we summarize our main achievements so far during this year, Telecom has been enabled to refinance and reduced an important portion of instead exchange its 2021 bond refinance debt in multilateral agencies. Our capital structure has been improved and our future debt maturities have been extended with only P$150 million, approximately for 2021. OpEx has been reduced substantially and our collections have improved since 67% of our clients are paying digitally. Our collection period has been normalized when compared to the delays, we had at the beginning of the pandemic. The local soccer activity, which we stopped billing will return in the fourth quarter thus improving our revenues. In addition, we are working on other projects such as IoT, FinTech and Personal Cloud that will be added to our revenues. We continue being under a scenario where we cannot increase prices until year end. However, what we have done in our financial data, CapEx and relationships with our clients have allowed us to be resilient to the situation, keeping a sound EBITDA margin. We continue with a slight 6% in our digital transformation roadmap. Telecom is undergoing a transformation process with the target to be 100% digital company. We are not only converting our systems in order to integrate all our operations but we are also creating an ecosystem of platforms leverage on connectivity, which allows us to manage an absolute product and services with focus on the digital and conversion customer experience and also to the B2B business. The results are equal to a transformation that promotes autonomy, collaborative work and the application of DevOps and agile methodologies. An example of this was the recent implementation of minutia personal, which was formed by a multidisciplinary internal team. We are working on a superior architecture for our systems and platforms in order to achieve additional efficiency. During the last three years, we have cut in half our legacy system from the Telecom and Cablevision merger, in order to get a better understanding of our clients consumption habits, we are adapting our system to incorporate analytics and big data capabilities. This will allow us to customize our commercial offers and enhance the customer experience. Finally, we are envisioning a future for the IoT business. Our target is to be the number one exchange to exchange value provider of our IoT products and services in all segments. Currently, we have developed a strong portfolio of IoT solutions and we have a strong partnership with Nokia supported by its worldwide IoT network green wing solution. In the next slide, we will go the progress of our main IP transformation projects. Let's turn to Slide 7, where we present our fun and switch initiatives. Regarding our main BSS transformation projects fun, we have to continue with immigration process and 1.3 million lines have been added. We achieved five migrations during the pandemic, which were also the largest in the industry. Currently, a total of 6.7 million customers can enjoy this new digital experience which offers a unified invoice and service process. We expect to complete by the end of next year this process. Switch is our new digital channel, frontend that includes ecommerce and self-service solutions that give our B2C customers the convergent experience. It has an intuitive interface that summarize the client's products and information in accordance with its profile. Through switch, our clients use more our digital channels. In Slide 8, we continue with a brief summary of our cloud foundation and for our programs. The objective of the cloud foundation project is to integrate the different public cloud platforms with Telecom processes in order to achieve additional efficiency, process automation and business flexibility. The final objective is to enhance the company's physical data centers with higher B12 cloud capacity. We are also implementing a payment micro site hosted in our new AS cloud. Telecom is the first company in the world to successfully implemented S/4 HANA central finance, with central payments and great management altogether. On July 1, we have concluded the digital core implementation and post-go live support has been done. Slide 9 shows our product evolution in Argentina. On the mobile segment, postpaid subscribers have increased 2.6%, while prepaid subs have decreased 4.5% increasing our postpaid share. Fibertel our customer base increased 0.7% year-over-year mainly growing in the HFC and FTTH segments. pay Tv ARPU pay accessories have grown 1.6 year-over-year most leverage on our flow platform. Fixed voice ARPU, the reduction of accessories has continued mainly in traditional fixed copper lines, while Fibertel IP accesses have increased by almost 210,000. Slide 10 shows the evolution of our service revenues. Service revenues totaled more than P$197 billion decreasing 3.6% in real terms, versus nine months in 2019, in a period where inflation reached 36.6 year-over-year. Our revenue breakdown as of September 2020, shows an increase in mobile revenue share and a lower share of broadband and pay TV revenues when compared with the previous quarter. The breakdown results are as follows; mobile revenues 38%, broadband revenues 21%, pay TV revenues 20%, fixed telephony and data 15%, equipment sales 5%. Our main drivers of growth in mobile and broadband I will explain on Slide 11. We can be able to keep almost constant our customer base and also register growth in the usage of our products, postpaid mobile and broadband are two of our main pillars of our performance. As of September of 2020, postpaid subscribers amounting to 41% of our total customer base. The chart in the upper left shows the evolution of the competition landscape, wireless per month during the last year, personal in blue color, positive numbers show incoming clients and negative numbers of client loss against the competition. As mentioned, the growth in the segment that is mainly supported by our convergent offers to cable TV and internet subscribers that were not mobile clients of the company. Mobile internet usage has also increased reaching an average of more than 4.1 kilobytes per user per month in first nine months of 2020. We have continued increasing the speed and capacity of our broadband customer base, leveraging on our strong HFC network and responding to the higher usage of our fixed networks. Considering our different broadband terminologies, we can observe that clients have been migrating to the more efficient ones. CapEx are mainly here to continue upgrading our network which have shown to be extremely resilient to the increasing traffic during the lockdown you to call. In addition, there has been an important growth in broadband speeds considering due to COVID. In addition, there has been an important growth in broadband speeds considering that 58% of total subs have speed between 50 and 300 megabytes as of the end of the third quarter of 2020 compared to 73% in the same period last year. In Slide 12, we showed the evolution of our flow product and how we have been able to increase its penetration. Flows our IP video platform with better experience, as it has currently reached 94 million views during the third quarter of 2020, 5 million connected devices and a high level of usage as our customers use flow for an average of almost 9.7 hours during the third quarter. We have almost 1.2 million flow boxes inside homes and 1.3 million flow ups thus advancing towards the objective of network digitalization. Additionally, we continue to add value to our flow path platform starting in November 2020, we are integrating the Disney streaming service flow on personal customers will be able to access Disney+ for the first three months free of charge. Let's move to Slide 13, where we can find a summary of our international operations in Paraguay. We consider our presence in Paraguay, Núcleo a subtle driver to grow given our strong market share, Paraguay's improving economic situation, Núcleo's ability to finance itself in the local market and the implicit hedge in dollar that we have since there are no restrictions to convert guaraní local currency into dollars. Núcleo, our subsidiary in Paraguay on which we hold 67.5% stake registered around 142 million and 62 million in revenues and EBITDA during the first nine months of 2020 respectively. Browsing services accounting for almost 43% of the revenues followed by voice with almost 21%, data with almost 10%, internet 8% and TV services almost 7%. As of September 30, 2020, mobile customers totaled 2.2 million, clients of [indiscernible] a mobile financial service that our subsidiary provides reached 275,000. Fixed internet services subscribers amounting to 118,000, in the pay TV segment, low customer totaled 20,000 and personal HD 62,000. The fixed network deployment in the main cities of Paraguay has been increasing rapidly during 2020, reaching 447,000 homes past. Additionally, Núcleo's internet subscribers totaled 118,000 increasing 3.5x versus the same period of last year. I will now past the call to Fernando José Balmaceda, who will go over our financial performance.
Fernando José Balmaceda: Thank you so much, Gabriel. Turning to Slide 14, we show the evolution of local inflation. As of September 2020, the year-over-year increase inflation has been 36.6%. During the third quarter of the year, inflation has been 7.7%, accelerating slightly when compared to the last quarter, but still well below the third quarter of 2019. The breakdown that we are including shows that the most important percentage in index comes from food and beverage, transport and clothing and other items, while the share of communication services in the CPI amounts to approximately 2.8%. In Slide 15, we can see that for nine months of 2020 consolidated revenues on nominal terms grew by 38%, reaching almost P$189.9 billion. When analyzing that figure adjusted by inflation revenues amounted to more than P$208.2 billion, showing a decrease of 4.6% in real terms. Service revenues stood at 39% nominal increase in a context where prices have been frozen since May 2020, mainly driven by mobile revenues, which grew more than 6% in real terms, when comparing a nine-month 2020 with the nine-month 2019. EBITDA increased by 46% year-over-year in nominal terms, thus generating an EBITDA margin of 36.2%, return margin in real terms was 35.8%. The company performed well in terms of cost controls, operating costs before D&A decreased almost 8% in real terms versus the nine months of 2019. The company performed a very efficient cost reduction policy, the only exception being interconnection and transmission costs, which increased mainly to the rise in FX rates. Slide 16 shows the company's EBITDA evolution and the impact of the reduction in operating expenses. It was a positive contribution to EBITDA margin due to the reduction in handset costs, which decreased 29% in real terms, mainly by a lower sell out. Operating efficiencies were also obtained both in programming and content costs, maintaining material expenses, commissions and advertising. On the other hand, interconnection costs increased in real terms, mainly due to their dollar component, while bad debt expenses have increased above inflation. The final result was at 250 basis points increasing EBITDA in real terms when compared to the nine months of 2019. In Slide 17, we can show the evolution of our collections of non-performing debt. We can see the collections during digital channels have increased to 67% of total collections from 50% at the beginning of this year. Additionally, the gap of real collections versus our forecast has decreased substantially. The beginning of the COVID-19 lockdown, the level was almost 30% negative. Currently, our collections are at normal level and have been possibly influenced by extraordinary collections in our B2B business. Despite the general level of non-performing debt in our retail business debt has increased during this year due to the effect of the COVID-19 lockdown as of the end of September of 2020 has moved to more normal levels, decreasing 2.3%, being 2.7% in June 2020. Slide 18, we can see the company's operating income totaled almost P$19.4 billion, EBIT has increased 1% in real terms, as the decrease in D&A and this poses an impairment of fixed assets was slightly higher than increasing EBITDA. Operating margin in real terms was 9% of consolidated revenues, stable from the figure of several a year ago. Considering historical figures, the same margin has increased to 22% from 19% in nine-month 2019. Net loss registered in nine months 2020 was [P$1.0 billion] [ph], increasingly more than a P$16 billion from the same period of last year, mainly reflecting lower FX losses due to diversification of the peso and the lower impact of income tax. In Slide 19, there is a summary of the company's CapEx during the first nine months of the year. Telecom has invested almost P$35 billion. This amount is 37% lower when compared to the same last year's period. I mean, almost finalized, most of our system changes catching up our infrastructure during the first two years after the merger, our CapEx program will continue evolving according to Argentina's economic growth network performance and customer requirements of new services. Technical CapEx were mainly composed of installations and customer premise equipment or CPE. The balance was located network and technology and our international operations in Paraguay and Uruguay. During the third quarter of 2020, more than 50 new mobile sites were deployed and more than 300 exiting sites were modernized. Moreover, we continue to increase the capacity of our HFC access network, mainly through segmentation of various focusing particularly in the AMBA region. While 1.4000 FTTH blocks were enabled, reaching more than 187 new campus with FTTH during the first nine months of 2020. Personal network has achieved the highest excellent consistent quality and fastest median download and upload speed in Argentina, and the second fastest mobile network in terms of download speed in all of South America. Slide 20 describes our cash flow generation when comparing the first nine months of 2020 with the same period of 2019. As of September 2020, the operating free cash flow amounted to approximately $509 million. The increase in EBITDA and the reduction in CapEx mainly explain the additional $71 million in free cash flow when compared to the nine months of 2019. Slide 21 shows our key figures for last 12 months as of September 2020, in constant measuring unit. Company revenues amounted to almost P$280 billion, while EBITDA amounted to P$96 billion. EBITDA margin was 34.3%. Our gross debt amounted to P$171 billion as of September 2020, decreasing 7.7% from December 2019. The company has been able to generate an important amount of cash and short-term investments amounting to P$39 billion, from which more than P$16 billion have been invested in local bonds and notes. Net debt amounted to almost P$132 billion, our net debt to EBITDA ratio was 1.37x. Slide 22 summarize the latest financial conceptions that the company has overtaken. On August 6, 2020, Telecom concluded an exchange offer of its outstanding 6.4% notes due in 2021. Holders validly tendered $362.2 million of notes due 2021. The acceptance rate was 77.74% high enough to demonstrate our solid credit profile and structure of the exchange offer. An additional amount of 135.4 million of notes due 2025, new money was raised to repay our loan with Deutsche bank, London branch and CPPIB Credit Investments Inc. In summary, the company issued $388.9 million of new amortized notes due 2025 with a new coupon of 8.5% payable on a semi-annual basis. Moreover, on September 22, the company announced that it has successfully refinanced its flows with IFC and IDB Invest for an amount of $129.3 million. In the case of IFC loans 85% of principle that has to be paid in 2021 was extended between 24 and 48 months. As for the IDB Invest loans 85% of principle that was to be paid in the fourth quarter in 2020 and in 2021 was extended to between 24 and 66 months. Overall, the company partially repaid $40 million of the standing amount and on the loans. Due to the above the company has considerably optimized his capital structure. Slide 23 shows a breakdown of our financial debt. Total outstanding debt as of September 2020, amounted to more than $2.2 billion. Our debt profile and capital structure has improved significantly after the exchange of our 2021 notes and the refinancing of IFC and IDB loans. Our maturities in U.S. dollars are in the range of $400 million to $500 million between 2021 and 2022. And now it has been strongly reduced until the maturity of our 2026 notes. Slide 24, summarize the latest regulatory decisions regarding the telecommunications industry. In May due to COVID-19, our industry has agreed jointly with Venicom to freeze the ties of our products until the end of August 2020. On the other hand, all companies in the industry who are not required to increase salaries until August 2020. In August, 690-2020 extended the price freeze until the end of 2020. A decree also declared ICT services as an essential public service. And it has been approved by the National Congress and today the regulation is still pending both inclusive and reduced services plans are being provided to clients. In the case of the reduced services, they're only provided to clients who have not either serviced during a period of 90 days. It's worth mentioning that during March 2020, the Secretary power issued a decree which determined the temporary suspension of the interruption of fixed and mobile telephony, internet and cable TV services in the case of non-payment until the end of September 2020. This was then extended until December 2020. Having concluded with the presentation, and before going to a Q&A session, let me pass the call to Solange for a final remark. Thank you.
A - Solange Barthe Dennin: Thank you, Fernando. With the presence of our CEO, Roberto Nobile, we are more than pleased to answer any questions you may have. However, before we start, we like to remind how you could direct your questions during the Q&A session, which will be opened immediately. Please send a message to IR Telecom Argentina to the Q&A menu, identifying yourself and state in any other question or alternatively, use the hand button to let us know that you want to formulate the question. We let you know when it is your turn to speak and we will unmute you so you can proceed with your questions. Thank you. So the first question we have received from [indiscernible] make the following questions. Would you please share with us an update on potential conversation with the government to be able to raise price for telecom services in 2021? The second question is, assuming the government does not allow you to increase prices, just that the negative impact of your personal structure from inflationary pressure, which alternatives are you considering? And then, finally, there is a third question that it says, would you please share with us your CapEx targets for 2021? What will you be focusing your investment?
Roberto Nobile: Okay. good morning everyone. This is Roberto. I will try to be very conservative on the information that we can share with you. We as an industry are having negotiations with the government with ENACOM, which is the regulator of the industry. Trying to consider how to implement the decree in terms of giving the industry the incentives to keep on growing and to keep on investing. And that means that we as an industry together with the government are working on trying to define the targeted customers, where we should try to focus in terms of special product like an entry level product for certain services and trying to free of the public service degree to the rest like higher premium services such as broadband or mobile. So, we are optimistic that we will be able to increase prices, we do not know how far from the real inflation rate, we will be able to do the catch up. But we're still working on that, but we're very optimistic that we will be able to increase prices during 2021 that is something that we all agree upon. We don't know yet that how we will schedule those increases, and we need to keep on discussing the rates of increase. Regarding the second question, that was, if we assume that we do not have any price increase and we do not assume that. And on the other hand, we still have a lot of room to grow in terms of reducing these promotional discounts, the industry has been very, very aggressive in terms of competition and trying to gain market share in that marketing activity, most of the other customer base are -- have a promotion or a discount in the price. So, I believe that if it by any chance, formal prices will not be able to been increased, if that that could be a possibility, which I personally don't believe it. We will have enough room to work in a less competitive environment I would say and therefore, we will be able to increase prices through taken away discounts or being less aggressive in terms of promotions. The third one, CapEx target is around 76%, 77% of our revenues and we will try to keep it that way. We've been investing about 20% for the last -- 17% of our revenues, we have been investing more than 20% over the last two years. This year we and that was due to a catch up of CapEx that was not done previously by the former telecom companies incumbent and also we did a lot of CapEx to integrate and make one network out of the two companies and trying to integrate also IT platforms. That CapEx will be reduced to this target of 17%. We will love to make it 18 or 19. But that will also be aligned to the possibilities that the company have in terms of financing and price increases.
Solange Barthe Dennin: Following question Marcelo Santos from JPMorgan. Marcelo, please go ahead.
Marcelo Santos: My question was on the mobile performance, if you look sequentially I think it was quite good despite the price freeze. So, if you perhaps could comment on this and talk some of the initiatives that lead to this performance, when I compare the sequential growth in mobile versus the fixed line it actually was good. And the second question is about Paraguay, would you share your longer term goals especially when it comes to the fixed broadband product there? Thank you.
Roberto Nobile: On the mobile we have been very successful in trying to convert prepaid into postpaid and that is probably the main reason why our performance has been good. If you take a look into the COVID, the lockdown period, prepaid customers have stopped charging their service, because they are at home, they are not commuting, they are not going to work by public transport, because public transportation is locked down too. So basically, the strong thing is on the postpaid, where we have been working very heavily trying to migrate pre into post and keeping the revenues pretty stable, I would say. Going back to Paraguay, Paraguay today we have almost 33% market share in the broadband services that has been a successful story because we were coming from zero and 1.5 years, we were able to grow to 120,000 new customers. And as far as we are moving forward, we believe that we can keep on growing very fast during 2021 especially considering the gap of service between our service FTTH service and our FTTH network -- new network compared to the competitors.
Solange Barthe Dennin: The following question we received is from Pedro Soares, who is asking, one question on prices and cash flow. What was the impact of the 267 since December on the [indiscernible] business, it is possible to have a better sense of that? And looking ahead, what are the company's perspective for 2021?
Roberto Nobile: We probably we can share the answer with Gabby and I will start and I think Gabby can complete it. The decree -- in the past how to say, the decree is asking us not to keep customers that are not paying. That's the main point of gap. And we have 700 -- between 600,000 and 700,000 customers in that situation. If we compare that number to the number that we have in 2019, that date, that is probably around 30% increase. So basically, the difference between last year and this year is that we are not eliminating the customer from our customer base and the customer is still using the service, but the amount is probably a 30% increase in that day compared to last year. If we look at the final numbers, we have come from 2.4% bad debt too -- 2.7 to 3.8 bad debt that's probably the number that we should look up and that's the main impact of the decree.
Solange Barthe Dennin: Moving to the following question we received from Andrew Deluca, he is asking, the 2021 bond maturity is beyond the CB measure, but could you please provide us with an update on how you are thinking about the remaining 2021 maturity and the CB measures are extended? And the second question from Andrew is, can you also provide an update of the competitive environment in Paraguay?
Gabriel Blasi: Okay. Regarding the maturity the first thing is, our interpretation is that as the original maturity of the debt was $500 million, the personnel standing is 100, it is learning that debt has been already defined. So company has already complied with that rule, although we are behind that reach as the role is extending that too much and the maturity of the bond is after that. Regarding how we can cope with that maturity. It's interesting to see that the only -- total maturity that the company has next year is in dollars is that plus about something less than $50 million of a transaction related to vendors, which in one case of them prefer a foreign chain channel because it's related to a multilateral agency. So, we think that first of all, the risk on that is very low. Besides that, the company still has a lot in dollars in Argentina, $50 million and also has a very strong cash position and always the ability to go to the market and refinance as we have been doing during all this year and probably the hardest environment that we can imagine in parallel now, we are also developing which are great lines that we expect to announce pretty soon that will also give us additional room not depending only from international capital markets or from the local capital markets or we can issue a very easily the amount related to the maturity of next year.
Roberto Nobile: Okay. I will go back to the previous answer. First question actually, the target for 2021 in terms of bad debt, we are considering something closer to 3 instead of 3.9 because we believe that this whole situation of pandemic, we will go probably until April, March or April of next year and then slowly going back to previous levels. So we are targeting the difference 50% bad debt for the next year. Now, going back to Paraguay, Paraguay, we have a very competitive market. Basically three, major competitors. We were the only one that were able to increase ARPU, increase revenues and increase EBITDA. When the competitors, I'm not going to mention them, but they are losing basically EBITDA. They are very, very aggressive trying to sustain their market share and therefore being very aggressive in subsidizing devices and that type of things. And we are very, very conservative in that. We're not that aggressive and we are making sure that we have a long-term business and we are trying to keep on growing month after month.
Solange Barthe Dennin: We have the following question from [indiscernible] AR Partners, he says what should we expect in terms of dividends for next year?
Gabriel Blasi: Regarding -- I see, no, it is public information an assembly has been set and will take place next Friday. So I think that we need to wait to that event to see what's the decision of the shareholders assembly about this.
Solange Barthe Dennin: We have received another question from Andrew DeLuca, what he says, cost cutting initiatives were quite strong to the bottom, how much more room do you see to cut costs?
Roberto Nobile: Not much, I think we have tried to squeeze all that we can, of course, when you reduce costs, that match you are losing something, the OpEx is not that -- we are reducing OpEx that is not necessary. The OpEx that is necessary marketing our brands are not speaking and we need our brands to start talking again and trying to reach all our customers with our value proposition. So there are a lot of things that under this, I would say crisis having cut down, many of them need to be invested in the timeframe. But we have started to achieve synergies coming from the merge, for example, in terms of, we have -- by the end of this year, we will have all our mobile customers in one platform, once you're in a platform that has a lot of benefits in terms of costs, in terms of holding time, in terms of first of all resolution. So, there are a lot of good things that are coming out from the projects that we are deploying. So, I believe that these type of things, we will keep on doing them as long as we keep on deploying the new venues, systems new applications, probably by mid-2021, we believe we can finish the migration of all the converging customers into the salesforce platform, and therefore that will allow us to keep on working on the synergies that should be important. Throughout the last two years, we have reduced headcount by 10%. And we have a lot of third parties that we need to keep on reducing as long as we start deploying the new systems.
Gabriel Blasi: Just to illustrate what Roberto said, as mentioned, we can remember that prior to the big search of the COVID in Argentina, the company margin -- EBIITDA margin as of March was nearly 39% that give you an idea in a different environment, without the problem being completely exposed an idea of the potential of the situation, we are in a situation improvement in the economy in general and the normalization of activities, thanks to all the investment done.
Solange Barthe Dennin: The following question we have received is from César Medina from Morgan Stanley, what it says, can you please quantify the current magnitude of promotion and discounts and in what -- ARPU would be if 100% of that system promotions are eliminated.
Roberto Nobile: Thank you, César, for the question. That is impossible because to eliminate the discounts 100% that means that there's no competitors, there is no competition in the market and that is something that will not happen. Today, we used to have between 20 and 20 something percent discount on conversion services and today that that number is closer to 30. So, I believe that we can reduce that gap that going into conversion a bundle needs a discount is part of the value prop and probably we can reduce the whole promotion from 30 closer to 20s.
Solange Barthe Dennin: The following question is from [Alex Welby] [ph], what he asked, can you discuss your plans for the ability management in 2021?
Roberto Nobile: Well, Alex. Well, in fact, as I mentioned for 2021, I will say that there is not too much to do from the original $1 billion of maturity, we are only having $150, from that 100 is the bond. We have $50 million in cash -- in our cash position today. And they we have the ability to go to the capital market both locally and outside if that's the case. For the other 50 is related to vendor financing, which are lines that we have constantly renewing in an and also related to some agency. So we don't foresee a problem besides that. Also we have the ability of tapping the local capital markets where we can get, I will say in the range of $100 million per quarter with the present liquidity situation. And also, we have -- most of the banking lines we are using today about a third of the available banking lines beside the position that we already having cash in local governments. So we don't foresee a significant risk from the financial side for 2021. Of course, it will depend on the market, it is always a constant point of analysis. And if the market price, opportunity will -- if the economy gets better in Argentina, the vaccine allows a better outlook in general, we can consider a continue working on the future maturity as of today, the total debt book of the company with the reduction of those $200 million that Fernando mentioned is yielding 7%, we want to keep that type of cost control.
Solange Barthe Dennin: Following question is from [Akbar Kouser] [ph]. He asks, hi, I want to get a sense of the affordability level of your customers. What percentage of your customers do you believe is dollarized and can withstand significant price increases?
Roberto Nobile: It's a difficult question. All our customers are in pesos. They are not dollarized because we have a pesos economy -- pesos denominated economy, so it's not a dollarized one. For the most part of our customers, they are and they have been able to pay throughout lockdown without any problem. And basically, the strongest thing about our services that we are really essential today and probably that need of connectivity will remain after the lockdown after the pandemic. So I think that the service is resilient to, I wouldn't say pricing freeze, I would say price inflation adjustment, because we are not working and we have as long as you have seen throughout the quarters, we have been always able to keep prices with inflation. We have not been going beyond inflation. Probably, if we can change the mix of products and going to products of one gig or other premium products, we can increase the price because the value prop is increased. But if we take a look at the whole business, we believe we will be able and our customers will be able to keep on the inflation adjustment. That has always been the real thing. And what we have been able to demonstrate throughout so many years.
Solange Barthe Dennin: Thank you. The following question, we received it from [John Mohu] [ph], he said, how do you reduce services compared to those of your competitors? What kind of measures are you -- your competitors taking in response to the tariff raise?
Roberto Nobile: How you compare?
Solange Barthe Dennin: How do you reduce services compared to those of your competitors? And what kind of measures are your competitors taking in response to the tariff raise?
Roberto Nobile: No, basically, that's ruled by decree. So, all the competitors are reducing the product -- to the product that is requested by the government. So we have we are sharing the same reduced product as the entry level or the -- we should say that the non-paid product, so there's no difference in that. I don't see any other difference.
Solange Barthe Dennin: Thank you. The follow-on question will be from Alejandra Aranda. So, Alejandra from Itau. If you are here, ask please go ahead.
Alejandra Aranda: Just, Roberto I wanted to -- there was a little bit of break up in the line, could you confirm the percentage of your client base with promotions and the average discount? And then, I was hoping to get a little bit more color on the competitive landscape, you said that some of your competitors were not being quite rational. So I'm wondering even in a world where you could increase tariffs next year, what would be the pushback from your clients and the need to extend promotions going forward? And the last question that I have is on personal and severance cost and how should we think about it in the next few months?
Roberto Nobile: Okay. You mentioned many things Alejandra, the first one was -- we talk about a 30% average discount for our customer base and it has always been 20% around 20%. So, that's the gap that this whole thing has produced in the last quarter. The second one was the competitive landscape. On the mobile side a competitive -- as you saw in the presentation, month-by-month, the port-in and port activity has been important, we I would say are the less aggressive of the market and trying to keep balance, especially in this moment in time to not to push portability. Therefore, portability means discounts, so we are trying to pull down our own activity. But the real truth is that the other competitors are not cooling down the activity. Right now, I believe that they will start pulling the activity very soon because we are in a very difficult economic situation. And on the severance, when I saw that one of the major cost reductions was in the labor force and that is due to a reduction in severances during the year. Last year, we have -- agree with, with many entities to accept or to negotiate leaving the company, and this year that that situation because the economy of Argentina is very bad. It's very difficult to find someone that wants to leave the company by its own sake. And that is one of the reasons why the severances have been very low.
Alejandra Aranda: And going forward, what are you expecting for 2021?
Roberto Nobile: The same as this year. As long as the whole economy of the country does not improve, it's very difficult to find people that wants to leave the company being paid a severance and trying to start a new business outside. People will try to keep it this way and without leaving. So I believe that the number will be very similar to this year.
Solange Barthe Dennin: Thank you, Alexandra. So we have a final question from Nicolas Petrone. That is saying considering the price freeze and perhaps following perhaps question, does the regulation considers lower incomes as changing prices or it is just point [indiscernible] price?
Roberto Nobile: The decree is based on prices, general prices, the real thing is that with the new customers, will -- the major effect on the discount is that all the new customers will not have the promotions, promotions are not part of the it, promotions are still and always be part of the company's commercial decision. So you can sell a product at 100% price or you can sell a product on a three month discount price, I would say 70% of the price, 50% of the price. So that's a commercial decision and that's not part of it.
Solange Barthe Dennin: Final comment for Andrew DeLuca. Thanks to everybody and congrats for the results.
Roberto Nobile: Thank you.
Gabriel Blasi: Thank you very much.
Fernando José Balmaceda: Thank you.
Solange Barthe Dennin: So having no more questions. We thank you very much for participating in our quarterly conference call. Please do not hesitate in contacting our Investor Relations department for any further inquiries you may have. Good morning to all and had a nice day.